Operator: Good morning, and welcome to the Corporacion America Airports Fourth Quarter and Year-End 2024 Conference Call. A slide presentation accompanies today's webcast and is available in the Investors section of the company's website. As a reminder, all participants are in a listen-only mode. There will be an opportunity to ask questions at the end of the presentation. At this time, I would like to turn the call over to Patricio Inaki Esnaola, Head of Investor Relations. Patricio, please go ahead.
Patricio Inaki Esnaola: Thank you. Good morning, everyone, and thank you for joining us today. Speaking during today's call will be Martin Eurnekian, our Chief Executive Officer; and Jorge Arruda, our Chief Financial Officer. Before we proceed, I would like to make the following Safe Harbor statement. Today's call will contain forward-looking statements and I refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. Please note that throughout this call, all references to revenues, costs, adjusted EBITDA and margin will refer to figures excluding IFRIC12. I will now turn the call over to our CEO, Martin Eurnekian.
Martin Francisco Antranik Eurnekian: Thank you, Inaki. Good day, everyone, and thank you for joining us today. I'd like to start by sharing some key highlights from our fourth quarter 2024 performance. Afterwards, Jorge will provide a more in-depth financial review, and then we will open the floor for questions. Strong performances across most markets were key in driving our overall results this quarter, underscoring the strength of our diversified portfolio. While Argentina's performance remained soft in the fourth quarter as a whole, we were encouraged by a notable rebound in domestic passenger traffic toward year's end. Total passengers reached record highs in December 2024 with continued positive momentum in January and February. Passenger traffic declined by 1.2% year-over-year, but increased 1.5%, excluding Natal. Notably, we saw a solid 11.3% increase in international traffic in Argentina, supported by a continued recovery in outbound tourism. In total, we served nearly 80 million passengers across our airports in 2024 with approximately 20 million traveling in the fourth quarter alone. As Jorge will discuss briefly, fourth quarter year-over-year comps were affected by the sharp devaluation of the Argentine peso in late December 2023 and the indemnification payment received in the fourth quarter of last year in connection with the friendly termination of the Natal Airport concession. Excluding these two factors, revenues were down by 0.6% year-over-year, in line with lower passenger traffic, where revenue per passenger improved slightly to $19.3 from $19.2 in 2023. In turn, adjusted EBITDA for the quarter declined by 7% pressured by weaker domestic traffic in Argentina, lower cargo revenues and reduced duty-free sales, which were unusually high in the fourth quarter of 2023 as they benefited from a favorable official exchange rate until the peso devaluation took place in mid-December 2023. Importantly, all other countries of operations reported positive year-over-year contributions to adjusted EBITDA. Notably, we maintained a strong cash flow and a robust financial position with our leverage ratio remaining at low levels. This solid footing gives us the flexibility to confidently pursue strategic growth initiatives. The balance across our portfolio continues to demonstrate the resilience of our business and our ability to deliver consistent performance despite localized challenges. Now let's move to Slide 4 to discuss passenger traffic trends in more detail. Turning to Page 4 for a review of passenger traffic trends. Overall, total passenger traffic declined by 1.2% year-on-year to over 20 million. When adjusted for the discontinuation of Natal Airport, passenger traffic was up 1.5%. As a reminder, effective February 2024, we have terminated our concession agreement for the Natal Airport. Overall traffic improved from a 1.5% decline reported in the previous quarter to a growth of 1.5% when excluding Natal. Domestic traffic showed sequential improvement but remained 7% lower year-over-year or down 2% excluding Natal, mainly reflecting weaker demand in Argentina, particularly in October and November. However, international traffic rose 7% year-over-year, supported by strong performances in Argentina and Italy underscoring the resilience of our international operations. Let's take a closer look at some key year-on-year trends by region. Starting with Argentina, passenger traffic declined just over 1%, showing a marked improvement from the 6.2% decline posted in the third quarter. This recovery was supported by record high passenger volumes in December. The year-over-year decline was primarily driven by softer domestic traffic in October and November, reflecting the absence of the Previaje Government Incentive Program that had bolstered local tourism in 2003, but was not repeated this year. Encouragingly, international traffic remained a bright spot, up 11% year-on-year, supported by additional routes and increased flight frequencies. American Airlines resumed its Ezeiza Dallas route and expanded services to Miami while Delta introduced a second daily frequency to Atlanta. Meanwhile, British Airways increased seat capacity by nearly 22%, while Avianca launched its new Guayaquil-Ezeiza route. Additionally, Emirates, Iberia and United boosted their frequencies, further enhancing connectivity. The strong momentum achieved in December continued into January and February with passenger traffic growing by 13% and 10% year-on-year respectively. In Italy, traffic rose by 11%, reaching 2 million passengers. Growth was driven both by international travel, up high-single-digits and an impressive high-teen increase in domestic travel reflecting strong demand in November and December, particularly at Pisa Airport. This performance continued into January and February with passenger traffic increasing by 6% and 14% year-on-year respectively. Turning to Brazil. Traffic continued to recover rising in the high-single-digits when adjusted for the discontinuation of Natal Airport, despite ongoing challenges in the aviation sector and aircraft availability in the country. This recovery trend extended into January and February, where overall traffic, excluding Natal increased by 3% and 9% year-on-year respectively. In Uruguay passenger traffic increased by mid-single-digits supported by new and resumed routes, including American Airlines restatement of its Montevideo-Miami route as well as new services from SKY and Latam Airlines connecting Montevideo to Rio de Janeiro and Punta del Este-Santiago de Chile for the summer season. Additionally, Paranair resumed its Montevideo-Salto route for establishing disconnections after more than two decades. Traffic in the first two months of the year performed well with year-on-year increases of 5% and 2% in January and February, respectively. In Armenia, traffic was slightly up by 1%. Following a strong 2023 performance, growth was supported by the introduction of several new airlines, including China Southern, Air Cairo, Salam Air, and Sky Express, which began operations at Yerevan Airport during the quarter. Traffic in January rose by 7%, while in February, it declined by 5% year-over-year. Lastly, in Ecuador, passenger traffic declined by less than 1% year-over-year. A slight increase in international traffic was offset by a low-single-digit decline in domestic travel which remained affected by high airfare prices and ongoing security concerns, which continue to weigh on demand. Traffic in January performed well, increasing by 8% year-on-year while in February, it declined by 2%. In summary, while Argentina's domestic market faced challenges earlier in the quarter, we closed the year on a positive note with record high volumes in December. Meanwhile, strong results in Italy, Uruguay and Brazil further underscored the resilience of our diversified portfolio. Next, as shown on Slide 5, growth in cargo volumes accelerated to 16% year-over-year in the fourth quarter with positive contributions from all countries of operations. Cargo in Armenia was up over 51% while Argentina posted an increase in the high teens, benefiting from the flexible import regulations and improved macro conditions. Despite volume growth, cargo revenues ex IAS 29 declined 3% year-over-year, primarily due to fewer storage days for imported goods in Argentina. This negatively impacted last year's billing scheme, which we already have revised this year. We remain focused on maximizing operational efficiencies across our network and continue to monitor cargo revenue trends closely. I will now turn the call to Jorge, who will review our financial results. Please go ahead.
Jorge Arruda: Thank you, Martin, and good day, everyone. Before I start, I would like to remind you that fourth quarter 2024 year-over-year comps were affected by the sharp devaluation of the Argentine peso in late December 2023 and the indemnification payment received in the fourth quarter of 2023 in connection with the termination of the Natal Airport concession. Therefore, for a better and proper understanding of our performance, we will present and discuss our results, excluding the impact of rule IAS 29 in Argentina in both years as well as the contribution from Natal in the fourth quarter 2023 in line with our fourth quarter earnings discussion from last year. Let's start with our top line on Slide 6. Total revenues ex-IFRIC12 were slightly down 0.6% year-on-year in line with passenger traffic, while our revenue per passenger was up 0.6% to $19.3 leveraging CAAP's global footprint. Aeronautical revenues were up 1.7% year-on-year despite a 1.2% year-on-year decline in traffic with positive contributions from all countries of operations except Brazil. Notably, in Uruguay, we recorded our strong 12% increase in our Aeronautical revenues, capitalizing on robust momentum in this country. Importantly, in Argentina, Aeronautical revenues rose 1.3%, supported by an 11.3% year-on-year increase in international traffic and, to a lesser extent, by a domestic passenger tariff increase that took effect on November 1st. Commercial revenues were down 2.9% year-on-year but improved sequentially following a 6.6% decline in the third quarter. This decline was mainly driven by lower cargo and duty-free revenues in Argentina and lower fuel revenues in Armenia, partially offset by high revenues from VIP lounges, parking, food and beverage and catering services, particularly in Italy, Ecuador and Uruguay. As Martin pointed out, duty-free and cargo revenues in Argentina were extraordinarily high in 2023 due to a significant disparity between the official and parallel FX rate and the expected evaluation respectively. Now turning to Slide 7. Total cost and expenses, excluding IFRIC12 were largely stable year-over-year. While the cost of services declined by 2.8%, this was offset by higher SG&A expenses, in part impacted by the inflation level in Argentina. Importantly, we remain committed to stringent cost controls across our operations, particularly in Argentina, where challenging market dynamics persist. Nonetheless, we anticipate a more stable environment for this year. Now moving on to profitability on Slide 8. Adjusted EBITDA ex-IFRIC12 was $151 million, a 6.7% year-on-year decline, largely explained by Argentine's soft performance. This was partially mitigated by strong contributions and growth from all other markets, particularly Uruguay and Italy, which posted another quarter of solid growth in adjusted EBITDA along with strong margin expansion. We are particularly encouraged by the performance of our operations in Brazil which benefited from solid traffic recovery, excluding Natal, higher VIP lounges, cargo and duty-free revenues as well as favorable impact this quarter from a BRL110 million economic compensation related to the re-equilibrium of the concession for COVID-related losses for 2024. Turning to Slide 9. Supported by our strong cash flow generation, we closed the year with a total liquidity position of $526 million, up 15% when compared to year-end 2023. Furthermore, all of our operating subsidiaries reported positive cash flow from operating activities during the 12-month period. As a reminder, cash used in financing activities included the previously announced $31 million acquisition of our indirect stake in AA2000. Now moving on to debt maturity profile on Slide 10. Total debt at year-end was $1.2 billion, while our net debt decreased to $718 million from $963 million at December 2023. Our net leverage ratio stood at 1.1 times at year-end, reflecting debt reductions from the amortization of scheduled principal payments as well as early redemption in Argentina and Armenia during 2024. Wrapping up, we closed the year with a robust balance sheet and healthy debt profile which position us well to capture future growth opportunities. Despite the headwinds we faced throughout 2024, our business remains resilient. As we look ahead, we remain committed to cost efficiency, enhancing our commercial operations and expanding our portfolio to deliver value to our shareholders. I will now hand back the call to Martin, who will provide closing remarks and discuss our view for this year.
Martin Francisco Antranik Eurnekian: Moving on to Slide 12. As we conclude, I would like to highlight a few takeaways from the quarter. Our solid results across key markets largely offset softer performance in Argentina, where domestic passenger traffic showed encouraging signs of recovery, reaching record highs in December 2024 as well as in January 2025. While adjusted EBITDA margins improved across all countries of operation, except Argentina, we are confident that ongoing initiatives to boost commercial revenues and strategic developments across our concessions will support improved results in the quarters ahead. On the commercial front, we are advancing on key projects to enhance the passenger experience and boost commercial revenue growth across our network. In Argentina, we are expanding the duty-free area at the Ezeiza Airport's arrival terminal increasing the space by over 50% to 1,100 square meters. In Brazil, we inaugurated a logistics center, signed agreements with three car dealerships and are progressing with the construction of a new lifestyle center. Lastly, in Uruguay, the construction of a new covered parking facility at Montevideo Airport is moving forward as planned. We also achieved important milestones across our concessions. In Argentina, a domestic tariff increase became effective in November, which will provide additional support to our local operations. In Brazil, we reached an agreement with the government on a new methodology for long-term economic re-equilibrium to compensate for the impacts of COVID. Meanwhile, in Uruguay, we inaugurated a new state-of-the-art private aviation terminal at Punta del Este airport and last February completed the works on Durazno International Airport. In Italy, we continue advancing on the EUR425 million master plan for Florence Airport. While in Armenia, we are progressing on approvals for our $425 million CapEx program. Both initiatives remain key strategic priorities aimed at delivering long-term value for our shareholders. Finally, we closed the year with a solid balance sheet and a net leverage ratio of 1.1 times reinforcing our financial stability and flexibility to invest in growth opportunities. Looking ahead, we are cautiously optimistic about Argentina in 2025. While international traffic continues to perform well, we expect a recovery in domestic traffic supported by the positive momentum posted in January and February. To conclude, in 2025, we remain focused on executing on our strategic growth objectives while capitalizing on the initiatives taken throughout 2024. With a strong foundation in place, we are confident in our ability to drive sustainable growth and deliver value. Operator, please open the line for questions.
Operator: Thank you. Ladies and gentlemen we will now begin the question-and-answer session. [Operator Instructions] Your first question is from Alejandro Demichelis at Jefferies. Please go ahead.
Alejandro Demichelis: Yes. Good morning, gentlemen. Thank you very much for taking my questions. Two questions, if I may, please. The first one is, could you please update us on how you see the concession review process in Argentina, how much progress you're making, what are kind of the next steps we can see from there? And then the second question is, Martin, you talk about your strategic priorities and initiatives. Maybe you can also add how you're seeing the opportunities for inorganic growth, say, in Latin America and also outside of the region please?
Martin Francisco Antranik Eurnekian: Thank you very much, Alejandro, for your interest and for your questions, Martin here. In terms of Argentina and the contract, a little bit, as we said last time, we expect things to happen during this year, hopefully, although the official timing was expected for the end of third quarter and second quarter, we don't have exact days as of today to be able to know when the regulator will finish the work they are doing. But we have very good expectations that during this year, we will have positive news on that side in terms of having a path to move ahead. And as we said last time, the regulatory environment in Argentina, the Right of Access, which is the law approved in the last year by the government gives the executive and the regulator, very good tools to be able to do this, to do a comprehensive revision. So we are very positive on that side, but we still do not have details on exact dates, although we hope it will -- we will have news during this year. And regarding inorganic growth, we are happy to say that we are looking at very diverse opportunities in different geographies, in different sizes and shapes, let's say. We have strengthened our M&A team, adding more talent and people to the team to be able to take on more challenges. So hopefully, you will see us very active in the market as the opportunities arise and become public. Thanks, Alejandro.
Alejandro Demichelis: But these opportunities are mostly in Latin America or can we expect something outside of the region?
Martin Francisco Antranik Eurnekian: No. Definitely, you can expect us in very diverse regions. We have participated, already participated in ongoing processes in the Middle East, in Africa and in Latin America and in Europe. So we're looking at many opportunities, yes.
Alejandro Demichelis: Thank you.
Operator: Thank you. The next question comes from Fernanda Recchia at BTG. Please go ahead.
Fernanda Recchia: Hello. Thank you, Martin, Jorge and Inaki. Two questions from our side as well. The first, I would like to explore a little bit further the traffic trends for the year of 2025. So as we look year-to-date, the trend has shown a better trend for Argentina, especially on the domestic routes. So if you could provide some color on what is your expectation for Argentina this year? Also, Brazil is suffering on a year-to-date basis, so I would appreciate any thoughts and comments on Brazil as well? This is the first question. And my second question is regarding the projects in Armenia and Italy. I think Martin mentioned that they are progressing well on his closing remarks. But if you could provide any further details in terms of deadline and what is missing for us to have the final approval? Thank you.
Martin Francisco Antranik Eurnekian: Thank you, Fernanda, for your questions and for your interest. Starting with traffic for 2025, you asked about Argentina, I think there are two main issues affecting the real positive dynamics we are seeing in Argentina. One is the macro environment where more people have more access to US dollars and to buy international tickets as we have seen the international passengers growth that we have seen in the last two months is substantial, but also domestic has picked up. So we are very positive on the trends in Argentina given those dynamics and the fact that the government has worked through last year very aggressively on opening all sorts of red tape for the aviation industry. Firstly, signing Open Skies agreements with a lot of countries which give the possibilities for more airlines to put more flights without any preconditions and also the opening of the internal regulations themselves, which also allow companies, foreign companies and foreign aircraft and foreign crews to work domestically and internationally in Argentina with far less restrictions than before. So these two things combined are unleashing the growth potential that we are seeing in the traffic in Argentina. You mentioned Brazil. I understood. You mentioned the suffering of Brazil, maybe you are looking at the numbers, adding Natal, which is not there anymore. But if you take out Natal, the dynamics in Brazil are quite interesting. Jorge is here, he can comment, but above 5% in growth in the first two months for Brasilia Airport, almost 6%. So although the industry as a whole has challenges in Brazil, as we mentioned in the call, we think that these dynamics are not bad given the overall Brazilian environment. And regarding Armenia and Italy, in both cases in different dynamics, we are progressing really well. In Armenia, we're awaiting feedback on the government on the negotiation to do this new CapEx that we mentioned in the presentation. But for that, a lot of things will probably be revised. We're waiting for feedback on the government on that side and as soon as we have an agreed model, we will let the investors know about it with more details. And regarding Italy, we are very well advanced into all the technical requirements to receive the most important approval that we need, which is the environmental one, but the teams have been working very hard with the different sites of the government that work on this. And we can say we're fairly advanced and hopefully, in the next few months, we will have the news, positive news on the approval for -- the environmental approval that we need to be able to start construction on the CapEx program for Florence, which is the one that's going to be more transformative for the company and for value creation. Thank you, Fernanda.
Fernanda Recchia: Thank you, Martin. And just a follow-up, thinking on a consolidated figure, can we expect traffic to keep this mid-single-digit that we saw on a year-to-date basis?
Martin Francisco Antranik Eurnekian: Yes. I would say that the trends that we are seeing in the beginning of the year for most of our regions look promising, probably Armenia, where we saw a negative February, it's a little bit of an outlier where we expect to have an overall consolidated year on the positive side. So, yes, I think that you can say that whatever we're seeing in the first two months, we expect those trends to continue.
Fernanda Recchia: Perfect. Thank you so much.
Operator: Thank you. The next question comes from Stephen Trent at Citigroup. Please go ahead.
Stephen Trent: Good morning, gentlemen. Thanks very much for the time. The first question, I was wondering how you think about weighing potential growth opportunities and potential investments in new concessions. Any view as to whether geographic or air traffic diversity is sort of the main thing you look at or are you more interested, for example, in acquiring assets that are single till or dual till or inflation based or something along those lines? Would just love to hear a little more about that. Thank you.
Martin Francisco Antranik Eurnekian: Hello. Trent, thank you for your question. I think it's a difficult question to answer on our side because as we have always mentioned, we have a view on being, first of all, accretive to our portfolio. Second, very disciplined on how we look at and how we analyze the opportunities, and very opportunistic in the end to be able to get all that. So I wouldn't say, I wouldn't be able to classify a regulatory scheme that we think is better. I think we need to look at an opportunity as a whole and analyze case by case to see whether an opportunity is interesting or not. And I wouldn't say that the regulatory scheme needs to be one or the other for it to be interesting. As you see in our portfolio, we have all the cases that you mentioned, and we like them all. We think that each of our concessions as of today is a success story in being very diverse and very different. So I couldn't tell you that we are looking for a specific regulatory scheme when we go for concession, but we will do an in-depth analysis of the potential, the capacity of that opportunity to add value to our shareholders regardless of the type of concession or even geography because as we said before, we are working publicly in opportunities in the Middle East, in Europe, Latin America and Africa. So we are fairly open into the geographies that we think our management will be capable of adding value.
Stephen Trent: Okay. I really appreciate that. That's very helpful, Martin. And just one quick follow-up from me. You guys have had some success in amending your existing concessions, adding more years to the concession tenure. Do you think it's reasonable that we could expect more potential contract extensions over the coming years as this is thing that you're still discussing with your granters? Thank you.
Martin Francisco Antranik Eurnekian: Well, in this case, as we always say, our teams are focused on creating value for our shareholders but our stakeholders as well because if we do not create value for all, it would be difficult to have a sustainable business in a public service as the one we run. So with that mindset, you will see our team finding ways to keep investing, keep creating value, keep working towards the growth of the companies and the concessions that we have, and sometimes to get all that mix together, the extension and the extra time at a very good way to create value for all stakeholders, including, of course, our shareholders. So you can say that we are always in the lookout to create value in this and in other ways as well.
Stephen Trent: Okay. Very helpful, Martin. Thank you.
Martin Francisco Antranik Eurnekian: Thank you, Stephen.
Operator: Thank you. We have no further questions. I will turn the call back over to Martin Eurnekian for closing comments.
Martin Francisco Antranik Eurnekian: I just wanted to thank everybody for joining us today and also remind you that our Investor Relations team is available for any further questions or discussions you want to have about our company. Thanks again and enjoy the rest of your day. Bye-bye.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and we ask that you may disconnect your lines.